Operator: Welcome to MasTec's Fourth Quarter and Fiscal Year-End 2012 Earnings Conference Call, initially broadcast on March 1, 2013. Let me remind participants that today's call is being recorded. At this time, I'd like to turn the call over to Marc Lewis, MasTec's Vice President of Investor Relations. Marc?
J. Marc Lewis: Thank you, Ginny. Good morning, everyone. Welcome to MasTec's Fourth Quarter Earnings Conference Call. The following statement is made pursuant to the Safe Harbor for forward-looking statements as described in the Private Securities Litigation Reform Act of 1995. In these communications, we may make certain statements that are forward-looking, such as statements regarding MasTec’s future results, plans and anticipated trends in the industries where we operate. These forward-looking statements are the company’s expectations on the day of the initial broadcast of this conference call, and the company will make no effort to update these expectations based on subsequent events or knowledge. Various risks, uncertainties and assumptions are detailed in our press releases and filings with the Securities and Exchange Commission. Should one or more of these risks or uncertainties materialize, or should any of our underlying assumptions prove incorrect, actual results may differ significantly from results expressed or implied in these communications. In today's remarks by management, we will primarily be discussing adjusted financial metrics as discussed and reconciled in yesterday's press release and supporting schedules. In addition, we may use certain non-GAAP financial measures in this conference call. A reconciliation of any non-GAAP financial measures not reconciled in these comments to the most comparable GAAP financial measure, can be found in our earnings release, our 10-K or in the Investors and News sections of our website located at mastec.com. With us today, we have Jose Mas, our Chief Executive Officer; and Bob Campbell, our Executive Vice President and Chief Financial Officer. Before I hand over the call, we'll hear opening remarks and analysis by Jose, followed by a financial review from Bob. These discussions will be followed by a Q&A period and we expect the call to last for about 60 minutes. We have a lot of great things to talk about today, and I'd like to turn the call over to Jose. Jose?
Jose Ramon Mas: Thank you, Marc. Good morning, and welcome to MasTec's 2012 year-end call. Today, I will be reviewing our fourth quarter and full year results, as well as providing my outlook for 2013 and the markets we serve. Before getting into details, I'd like to take a step back and make some observations. A few years ago, we publicly set out to diversify our business and put ourselves in a position to have greater growth opportunities with improved margins. Over the course of the last 5 years, we have grown revenue from just under $1 billion to $3.7 billion with some pretty remarkable organic growth. And during that same time frame, EBITDA has grown sixfold. We accomplished these objectives despite a difficult market environment. While these are impressive financial results, our greatest accomplishment is how we positioned ourselves across a number of growth industries that offer us expanding opportunities for both continued growth and better margins during an improving market environment which, today, we are clearly in. Now some full year highlights. 2012 revenue was up 32% to $3.7 billion. Organic revenue growth for the full year was 25%. 2012 continuing operations adjusted EBITDA was up 35% to $332 million. Full year cash flows from operations was $172 million and 2012 full year continuing operation adjusted EPS was up 55% to $1.50. For the fourth quarter, revenue was up 27% to $932 million, organic revenue growth for the quarter was 26%, fourth quarter continuing operations adjusted EBITDA was up 100% to $99 million and quarterly cash flow from operations was $57 million, and fourth quarter continuing operations adjusted EPS was up 283% to $0.46. In summary, we had another excellent quarter and an excellent 2012. More importantly, 2013 is shaping up to be another record year for MasTec. While we are bullish about all the markets we serve, we expect the primary growth engines of the company to be our pipeline, wireless and transmission markets. We'll cover those more specifically later. Also, it's important to note that included in our 10-K is a business breakdown by segments. From this point forward, we will be providing financial data by the following segments: communications, oil and gas pipeline, electrical transmission and a power generation and industrial segment. Bob will provide more details on those later. Now I would like to cover some industry specifics. Our communications revenue for 2012 was $1.8 billion, an 8.4% increase over 2011. Our install-to-the-home revenue was up 10% over the prior year, driven by the full year results of the acquisition we made in 2011, which expanded our territory and gave us a large presence in the northeast. Highlights for 2012 included the successful integration of our acquisition and the extension of our contract with DIRECTV through 2016. We expect single-digit growth in this market in 2013. Our wireline revenue was up about 12% for the year over 2011. The growth was driven by the expansion of broadband and Internet in rural markets, along with improvement in the housing market and continued activity related to providing fiber to wireless sites. Our wireless revenue was up 24% in the fourth quarter of 2012 versus 2011, and up slightly for the full year. We believe that our wireless business will have increasing opportunities for growth for the foreseeable future. We are in the midst of a significant network technology enhancement with 4G or LTE, long-term evolution, and today, we are seeing a growing number of carriers expand and increase their investment in their networks. We continue to have success with a number of these carriers. In 2012, we saw a slower ramp from AT&T as a result of the capital planning delays associated with the failed merger with T-Mobile. We expect solid growth with this customer in 2013. All said, we expect our wireless business to enjoy solid double-digit growth in 2013. Our oil and gas pipeline revenue was $959 million for 2012 compared to $774 million in 2011, an increase of 24%. For the quarter, revenues were $244 million compared to $160 million in 2011, a 52% increase. The next few years will be driven by the continued need for infrastructure across all of the different shale basins, enhanced by a significant increase in the demand for large diameter, long-haul pipeline construction. The increase in work will lead to a tightening in the market. We expect another strong double-digit growth year in 2013. In December, we made an acquisition that enhances our capabilities around both facility work and gathering line construction. This acquisition expands our service offering, our customer base and most importantly, our cross-selling opportunities. We are also very bullish on our opportunities in Canada and view that as a strong growth market. Revenue in our electrical transmission business was $312 million versus $198 million in 2011, an increase of 57%. For the quarter, revenue was $84 million versus $76 million last year, an 11% increase. 2012 was a very successful year for our efforts in transmission. We significantly increased our backlog and had a number of very high-profile wins, including the 169-mile Sigurd to Red Butte line, which our customer announced at the end of November. Our competitive position improved throughout the year and we believe we are very well positioned for continued growth and success. Bidding activity remains very strong and we expect revenues in this business to grow over 30% in 2013. Our power generation and industrial business had revenues of $668 million versus $220 million in 2011, an over 200% increase. This is the one market segment where we expect revenues to decline in 2013. Uncertainty related to the wind production tax credit had many developers and suppliers virtually completely suspend plans for 2013. While the tax credit was extended during the fiscal cliff negotiations, we don't expect project activity to increase until late 2013 or early 2014. Due to the extension, we expect 2014 to be a very active year, potentially at the levels of 2012. In the meantime, we've been working to diversify our business into other renewables like solar and more importantly, into gas-fired generation in oil & gas facility work. In 2012, we won 2 gas-fired peaker plants projects and a large facility project, whose revenues will be mostly realized in 2013. But this won't offset the headwinds in our renewable business. For purposes of guidance, we have assumed that revenues in this segment will reduce by approximately $300 million. Most of that dropoff is associated with wind and a slightly softer market for solar, offset by our expansion in the power generation and gas facility work. In summary, 2012 was a record year for MasTec. Revenue, earnings and cash flow all grew substantially from 2011. But more importantly, we continue to improve our competitive position across a number of what we believe to be high-growth markets. I am extremely proud of MasTec's accomplishments. I would like to take this opportunity to congratulate and thank the men and women of MasTec for their commitment, sacrifices and efforts in making 2012 another record year. I'm sure they'll agree that we are excited about 2013 and we're ready to do it again. I would now like to turn the call over to our CFO, Bob Campbell. Bob?
C. Robert Campbell: Thank you, Jose, and good morning. Today, I'm going to cover 2012 financial results and 2013 guidance, and I'll also cover cash flow, liquidity and our capital structure. Consistent with previous calls, when I cover our financial results and our guidance, I will be discussing non-GAAP continuing operations adjusted EBITDA and earnings. A full reconciliation from GAAP results to continuing operations adjusted results is included in our 10-K and in the press release tables. The adjustment to 2012 results was to add back the $9.6 million pre-tax charge for our legacy Sintel Spanish litigation, which dates back to 2001. In addition, my remarks will only cover continuing operations without, one, any losses associated with our small water -- municipal water and sewer business, which is for sale; and two, without the profit from DirectStar, our DIRECTV marketing company, which we sold in Q2. Both of these businesses are now accounted for as discontinued operations in all periods. The adjustments to 2011 results were to back out the $29 million pre-tax EC Source remeasurement gain and to add back the $6.4 million pre-tax charge for our Teamster multi-employer pension plan withdrawal liability. In addition, the 2011 adjusted numbers are for continuing operations only, without the water and sewer business and without DirectStar. Also in my remarks today, I will be sharing reportable segment data for the first time. This is a significant new disclosure by reportable segments -- there is a significant new disclosure by reportable segment in our 10-K that we expect will be very helpful. Let me give you a brief overview of our 4 primary segments. Our largest segment is communications, and it includes our telecom wireline business, our wireless business and our install-to-the-home business. Our oil and gas segment includes petroleum and natural gas pipeline and related facilities. Electrical transmission does transmission work and also substation work. Power generation and industrial offers a very wide variety of services. Power generation and industrial does natural gas turbine power plants, built a coal-powered generation plant in 2011, does our wind and solar power generation, also does oil and gas facilities work. This is the organization that is going to do pumping station work for the southern portion of the Keystone pipeline. And power generation and industrial, also does various other types of industrial construction, including building processing plants. In the past, we have often referred to this group as our renewables group. But frankly, the group has always been more diversified than just doing wind and solar. Before I get into my detailed remarks, let me give you a quick overview. For the third year in a row, we had record full year revenue, net income and EBITDA. Fourth quarter revenue was up 27% from last year with 26% organic growth and full year revenue was up 32% with 25% organic growth. Continuing operations adjusted EBITDA in the fourth quarter roughly doubled to $99 million, and full year continuing operations adjusted EBITDA was $332 million, an increase of 35% over 2011. The full year organic non-acquisition adjusted EBITDA growth was 25%. Continuing operations adjusted EBITDA margin was 10.6% in the fourth quarter, which was encouraging relative to 2013 and better than our 9.5% in Q3, and dramatically better than 6.8% in Q4 last year. Continuing operations adjusted EPS in the fourth quarter was $0.46 compared to $0.12 last year. Full year continuing operations adjusted EPS was $1.50 compared to $0.97 last year, that's a 55% increase. Fourth quarter cash flow from operations was $57 million and the full year was $172 million. We had both strong earnings and cash flow in 2012. Full year 2013 guidance is revenue of $3.9 billion to $4.0 billion and continuing operations EBITDA of $410 million to $420 million. That's revenue growth of 5% to 7%, EBITDA growth of 24% to 27%, and the continuing operations EBITDA margin of 10.5% compares to 8.9% last year. I'll provide a 2013 EBITDA margin bridge a little later. And finally, our capital structure and liquidity are just in great shape today, and we currently foresee no issues in supporting our targeted levels of growth. Now let me get into the details of our results. Q4 2012 revenue was $932 million, up 27% from last year with broad-based growth, and our organic or non-acquisition growth was 26%. Our oil and gas business was up $84 million or 52%. Our power generation and industrial business had dramatic growth, mostly in wind, of $70 million, roughly double last year. Communications grew $37 million or 9%, led by growth in wireless, which had 24% growth. And finally, electrical transmission grew $8 million or 11%. Jose mentioned a number of recent large contract awards, which should accelerate transmission growth in 2013 and beyond. Q4 continuing adjusted EBITDA was $99 million, which was roughly double the $50 million that we earned in 2011. Q4 continuing operations adjusted EBITDA margin improved sequentially from 9.5% in Q3 to 10.6% in Q4, and the 10.6% in Q4 this year was dramatically higher than the 6.8% last year. Q4 continuing operations adjusted diluted earnings per share was $0.46 compared with the $0.12 we earned a year ago. For the fourth quarter of 2012, the 10 largest customers were: AT&T was 18% of total revenue; DIRECTV was 17% of total revenue; Enbridge, a pipeline customer, was 8%; DCP Midstream, a pipeline customer, was 6%; MidAmerican Energy, an electrical transmission customer and also a wind farm customer and Isolux USA, an electrical transmission customer, were each 3% of total revenue. We had 4 customers each at 2% of total revenue: Energy Transfer Company, a pipeline customer; and Chesapeake Midstream Partners, another pipeline company; and CenturyLink, a communications customer; and enXco, a wind farm customer. Regarding diversification, our top 10 customers in Q4 include 2 telecom customers, 1 satellite television customer, 4 oil and gas customers, 2 electrical transmission customers and 1 wind farm customer. Note that we no longer have any customers over 20%. And we have executed nicely on our strategy of reducing our DIRECTV concentration, which peaked at 47% a few years ago and is now down to 17%. We have done exactly what we said we would do, which was to keep growing with DIRECTV, a terrific customer, but to grow our other markets much faster in order to reduce the concentration. Now let's switch to full year results. For 2012, we had broad-based revenue growth. For the year, revenue was up 32% to $3.7 billion and the organic or non-acquisition growth was 25%. It's probably worth remembering that our 2011 organic revenue growth was 20%. Power generation and industrial, led by wind, more than doubled to $668 million. Oil and gas revenue was up $185 million to $959 million, representing a 24% growth rate. Our communications business grew $138 million to $1.77 billion or 8%. Electrical Transmission grew $114 million or 57%, to $312 million. 2012 full year continuing operations adjusted EBITDA was $332 million compared to $245 million a year ago, a 35% increase. The organic or non-acquisition EBITDA growth was 25%. 2012 full year continuing operations adjusted diluted EPS was $1.50 and it compares to $0.97 a year ago, that's a 55% increase. Even though 2012 was another excellent and record year for MasTec, it could have been even better without $36 million of wet-terrain-related pre-tax losses on the 2 Marcellus Shale projects that we have discussed in the past. The 2012 EPS impact of the Marcellus losses was $0.26 and the impact on continuing operations adjusted EBITDA margin was 120 basis points. Our revenue was split between onetime individual construction projects and what we call master service agreements and other similar contracts for generally recurring services and therefore, recurring revenue. For 2012, 43% of our revenue came from master service agreements or other similar contracts and 57% came from onetime individual construction projects. It should be noted that with many of our customers, we do a significant number of repeat follow-on individual projects. I just wanted to highlight that even though our onetime individual project revenue is growing nicely, we do enjoy a large and stable revenue base from these master service agreements and similar contracts. At year end, our backlog from continuing operations was $3.4 billion, and that's a record level for us. The comparable number at year end a year ago was $3.1 billion and $3.3 billion at the end of the 2012 third quarter. As always, our backlog is only for 18 months, and it includes an estimate of the next 18 months of revenue from master service agreements and other similar contracts. You can see in our new segment data that at year end, we had a high level of backlog, $453 million for our electrical transmission business, where we have publicly commented on 4 recent large awards. On the other hand, while we are very bullish about oil and gas, at year-end 2012, we did not have a huge amount of 2013 revenue in backlog. Oil and gas backlog was $220 million. That's a product of 2 things. First, the shale work is relatively short duration, book and burn-type work, which doesn't ever have significant backlog. And second, none of the long-haul work, which we expect will begin in 2013, has been signed yet. However, as Jose mentioned, we currently expect long-haul work to be both awarded and started in 2013, and we currently expect to get our fair share of the long-haul work. As a useful data point, at December 2011, we only had $153 million in oil and gas backlog but we were, nevertheless, able to generate almost $1 billion in oil and gas revenue in 2012. Now let me talk about our cash flow, liquidity and our balance sheet. As I mentioned earlier, our cash flow from operations was $57 million for Q4 and $172 million for the full year of 2012, dramatic improvement compared to 2011. Liquidity, calculated as cash plus availability on our bank credit line, was $372 million. I've already talked about the earnings elements to our cash flow and now I'll cover a few of the other cash flow elements. Our December 2012 DSOs, or days sales outstanding, continuing operations adjusted for December acquisitions, were 83 days, the same as December a year ago. 83 days is, frankly, a little higher than where we think we can operate over the long term. But as I've said in the past, our DSOs can bounce around a little, based on individual big project payment terms and especially the ups and downs of job start ups and job closeouts, and that's what happened in Q4. But we currently believe that we will operate most quarters in the high 70s for DSOs, and that's generally lower than our peers. Regarding capital spending, we spent $80 million for 2012 compared to $72 million for 2011. As we mentioned in our press release, we currently believe that we should have high levels of growth in oil and gas and electrical transmission for the next few years. As our confidence level regarding sustainable growth has risen, we have begun increasing our investment in equipment to support our anticipated growth. MasTec's capital expenditures for 2013 are currently estimated at $100 million and we estimate the depreciation expense in 2013 will increase by about $30 million. We see a great window of opportunity for the next few years and we're getting ready for it. We believe that the P&L benefit from our ramp up in equipment will primarily be seen in 2014 and beyond. Another use of cash in 2012 was stock buybacks. We spent $75 million on stock buybacks in '11 and another $75 million in 2012. For 2011 and 2012 combined, we have repurchased 9.5 million shares for a total of $150 million at an average price of $15.84. The stock repurchases have been a very economical way of offsetting dilution from our $215 million of in-the-money convertible notes. I'd like to comment on one other use of cash in 2012. We spent $118 million on 3 individually small acquisitions in the last 2 weeks of December. One of the acquisitions was a small wireless acquisition that improved our capacity and capability in the Gulf area. Another small one provides ancillary pipeline services. And the largest of the 3 is a strategic acquisition that has made MasTec a player in the oil and gas gathering line market. Therefore, today, we can now offer relatively end-to-end oil and gas services, from gathering lines to midstream to long-haul, and we have a solid oil and gas facilities business. Now let me talk for a moment about our capital structure. As a quick capital structure summary, at, year end, we had $862 million in equity, $599 million of debt, $332 million of 2012 continuing operations adjusted EBITDA, an anticipated $410 million to $420 million of 2013 continuing operations EBITDA. Therefore, all of our balance sheet and credit ratios are in very good shape. One other note, we were recently upgraded to Ba2 by Moody's as a further reflection of improvements at MasTec Our 2013 full year guidance is revenue of $3.9 billion to $4.0 billion, continuing operations EBITDA of $410 million to $420 million and continuing operations diluted EPS of $1.78 to $1.83. The 2013 revenue projection represents a 5.7% increase over $3.7 billion for 2012. Our 2013 continuing operations EBITDA projection of $410 million to $420 million is a 24% to 27% increase over continuing operations adjusted EBITDA of $332 million last year. The 2013 continuing operations EBITDA margin, implicit in our guidance, is 10.5%, which compares to a continuing operations adjusted margin of 8.9% last year. And continuing operations EPS of $1.78 to $1.83 is a 19% to 22% increase over a continuing operations adjusted EPS of $1.50 last year. Our 2013 full year guidance assumes a tax rate of about 39%. Cash taxes are estimated to be about the same as book taxes in 2013. We expect an increase in depreciation expense from $80 million in 2012 to $110 million to $112 million in 2013, as a result of higher CapEx. As I mentioned earlier, the increased CapEx is going to support the growth in pipeline and electrical transmission. Acquisition amortization expense is estimated at about $16 million for 2013 reflecting the 3 December acquisitions. That's higher than the $12 million of amortization in 2012. Our estimate for full year share count for diluted EPS is about 85 million shares and 84 million for Q1. Remember that our stock price for EPS purposes can fluctuate up and down with our stock price because of the accounting for our convertible notes. My final comment about our 2013 full year guidance is about margins. The continuing operations EBITDA margin implicit in our guidance is 10.5%. Now let me bridge from the 8.9% continuing operations adjusted EBITDA margin in 2012 to the 10.5% expected in 2013. Let me give you 4 reasons that give us comfort in our margin expansion for 2013. First, we lost $36 million on our 2 Marcellus Shale pipeline projects in 2012 and we do not expect anything like that to happen in 2013. Second, we expect good growth in oil and gas, which historically has been our highest margin business. Third, we expect good growth in electrical transmission and that's another high-margin business. And finally, we should start to get higher margins in our wireless business. We currently project Q1 revenue of about $850 million compared to $738 million last year, that's an increase of 15%. We project continuing operations EBITDA of $72 million compared to $49 million last year, an increase of 47%. And we project Q1 continuing operations diluted EPS of $0.24 compared to $0.14 last year, an increase of 71%. Our earnings guidance excludes the P&L impact of any future debt refinancing. In summary, 2012 was a record year in terms of revenue, EBITDA and net income. 2013 is all about execution, significant margin expansion and continuing strong cash flow. We currently expect another record year for MasTec in terms of revenue and earnings. That concludes my remarks. Now let me turn the call back to the conference operator for the Q&A session.
Operator: [Operator Instructions] And we will hear first from Andy Kaplowitz with Barclays.
Andy Kaplowitz - Barclays Capital, Research Division: Jose, we love the extra information but, of course, that allows us to ask questions on it. So let me ask you a question about oil and gas margins. You generated a little more than 10% margin in 2012, you talked about the Marcellus issues. But you generated close to 20% back in 2010, so could we see a pretty quick snap back here to those kinds of margins or do we need sort of the long haul to get better utilization and better margins within that space?
Jose Ramon Mas: Andy, I think the long-haul margins are a little bit better than the margins that you can obtain in the shales in the midstream. So I think that what grow the 2010 margins was the predominant nature of long-haul work. So I think it's a balance. I think that we can, obviously, do a lot better than what we printed in 2012, a lot of it has to do with the losses in Marcellus. But even if you normalize for that, it's probably somewhere in between the normalized '12 margins and the margins that we obtained in '10. But if things go your way, the market tightens a little bit, getting back to 2010 levels is not out of the question.
Andy Kaplowitz - Barclays Capital, Research Division: Okay. That's great. And then for my other question, let me just ask you about your revenue guidance. I know that you tend to be conservative. You've got a big drop-off from renewables that we all know about. If I exclude the acquisitions that you made at the end of last year, you're probably looking at, what, something like 2% to 3% growth. So let me just ask you this, what end markets are you being more conservative in when you look at the revenue forecast for '13 and why?
Jose Ramon Mas: Well, a, there's no question that when we look at power generation and industrial, it's the one where we have the least amount of visibility. So for guidance purposes, we've taken a $300 million reduction there. There's no question that, that can improve a lot if the wind market accelerates. So what we have assumed there is -- last year, there was a lot of uncertainty around the business because of the tax credit so, obviously, the tax credits got extended, which will have a very, very positive impact on that business. The question is how fast does it come back? And we've probably taken a very conservative approach and view as to when it comes back, so that could turn if the market accelerated. Quite frankly, in transmission, we've pretty much got our year in backlog. So to the extent that we win any type of work, whether it's small or large, that should have a positive impact on transmission. Our pipeline business with the addition of the acquisition, we've got it growing, maybe 15%, 20% organically. Again, with where we expect long haul to be, that could dramatically improve. Our wireless business can get better. So the truth is, we're not trying to sandbag the year by any stretch of the imagination. We think that if we deliver $4 billion with the kind of margins that we're talking about, we'd end up having a great 2013. But if some things go our way, we could obviously do a lot better.
Operator: And we will hear next from Tahira Afzal with KeyBanc Capital Markets.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: I guess, my first question is really in regards to the D&A increase and investments you are making. And I know, Jose, you've provided a bit more color around why you've been communicating confident on these markets. Could you talk a bit about whether you have received commitments that make you so positive? Was it just the macro? And then, were you filling up in terms of utilization with regards to the end of the year? Are these investments more so to really help you furnish the work you have recently booked or is it really in anticipation of the work that you think you could get? And I guess where I'm getting to with all that is, are you going to have to make more investments that are notable by the end of the year or is this going to take you through for the next couple of years?
Jose Ramon Mas: So Tahira, you've got one question in with a lot of sub-questions. To answer the question. Look, I think that we are extremely bullish on the 2 businesses where we spend a lot of capital. So in transmission and pipelines, it's not about 2013. If it was about 2013, we wouldn't have made those commitments. It's where we're seeing this industry really start to gear up for what's going to happen in '14, '15 and '16. Again, like I said earlier in transmission, for all intents and purposes, the back -- we've got our revenue numbers in the backlog that we have and yet, it's a very active market. We're actually tracking, following, expect to bid projects over the next couple of years that correspond to more than 2,800 miles of transmission build, that's an enormous amount. We're obviously trying to gear up to get our fair share of that. So we're very, very bullish there. When we look at pipeline, the fact that Enbridge shows up as our third biggest customer in the fourth quarter is a very good sign for us. Enbridge has an enormous amount of work for the next few years. We've tended to be successful with the them, so we're very bullish as to what's going to happen in our pipeline business. Over the course of the last few years, we've rented a lot of equipment in that business to really manage through the peaks and valleys, as we haven't had great visibility for the long term, we tend to be more conservative. The fact is that we have better visibility today in that business than we've ever had. We're extremely bullish, we're spending money and we're going to gear ourselves up, not for the growth in '13, but for the growth we think we can achieve '14 and beyond. With that said, we think that to the levels that we've geared up, we're going to be able to show a lot of growth. I hope, Tahira, to be in a position where I'm back in Q4 talking about the need to buy more equipment, because it just means that our business is going to grow that much more. But the reality for us to spend significantly above the levels that we're talking about, we're going to have to see corresponding significant growth, which would be a good thing.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Got it. Okay. And a quick follow-up to that. Jose, I mean, in the past you've made acquisitions and hence, in a sense, bought capacity through acquisitions, and both have been accretive. The investments you're essentially making on the capital lease and CapEx side are near-term dilutive in a sense. Is that because the acquisition targets out there are also approaching capacity at this point and the multiples are going high? Is that -- did you sort of look at those options when you made these decisions?
Jose Ramon Mas: The answer is yes, and I think it's important, when you think about that, to say they're not mutually exclusive. So the fact that we're doing this doesn't mean that we may make further acquisitions in the future to bolster our capacity. With that said, when our strategy around acquisitions, and I think we've been talking about this for a long time and I think it's a part of our success, is we work really hard at trying to organically grow the businesses that we buy. And this is an example of us investing our money because we've succeeded on our goal of growing those businesses organically. So the investments that we're making in those businesses are because we've done the right things in the business to put them in the -- to give them the opportunities and put them in the position to be successful, and now we're backing it up. So it's a great story.
Operator: And we will move on next to Alex Rygiel with FBR.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: As it relates to a larger, large diameter pipeline projects, are we going to see them come into backlog or could they take the form of some different type of contract, or vehicle, such as maybe an MSA, and maybe not necessarily come into backlog as quick as maybe you're awarded them?
Jose Ramon Mas: Both scenarios. So you'll see it come into backlog and there will be MSA-type long-haul opportunities as well, or MSA-like -- not really MSA, but in the form that you mentioned, which is your going to sign up with a customer and you're going to stay busy with them for a long time. It may not necessarily impact your backlog number, but we will have other projects that do improve the backlog numbers.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: And just to follow-up on that question. Do you think we're going to see any movement in that pipeline backlog figure in the first half of 2013 or is it more second half 2013? And also, as it relates to electrical transmission, do you think we can see some move in electrical transmission backlog in the first half of 2013 or should we be expecting the second half?
Jose Ramon Mas: So as it relates to pipeline, you'll see it in both the first half and the second half. As it relates to transmission, I think you'll see it more in the second half.
Operator: And moving on, we have a question from William Bremer with Maxim Group.
William D. Bremer - Maxim Group LLC, Research Division: So a great color on the call, a lot of good information. You know, Bob, you mentioned the gathering -- that pipeline now consists of gathering lines, midstream, long haul, in addition to the pumping station work you're doing for the southern portion of Keystone XL. Jose, Bob, what is your take on pipeline integrity and inspection services? Is this sort of an area there where CapEx could gravitate to going forward?
Jose Ramon Mas: So there's no question. I think that federal regulation probably needs to bolster up a little bit to see it happen everywhere, but we're seeing it in pockets. So there's parts of the country that are a lot more active than others. It's a growing opportunity, one that we're involved in today, and we think will grow over time. From a revenue perspective, it doesn't move the needle like some of the other things that we're talking about, but it's definitely part of what we're doing. When Bob mentioned the segment breakout, he talked about how, in our communication segments, we do a little bit of gas distribution work and we actually do some gas integrity work in that business as well. So we've got a nice presence in the market, we think it's a growing opportunity. But quite frankly, when we talk about gathering, midstream, long-haul and facilities, that's where the real revenues are going to be generated, at least, for the foreseeable future.
William D. Bremer - Maxim Group LLC, Research Division: And it seems as though that the North America including Canada markets are very, very solid for you this year and possibly next. Can you give us a longer-term view on possible, say, international opportunities for you?
Jose Ramon Mas: Well, we've got a lot of opportunities at home, which is where we're focused. There's no question that when we think about a number of our different businesses, Canada just offers us a ton of opportunity because of what's happening there. We tend to have a very favorable view of Mexico as well, especially as we look out longer term. So between our different businesses, we're going to be North America focused. But I think you'll see a growing presence in Canada and over time, a growing presence in Mexico.
Operator: And we will hear next from Noelle Dilts with Stifel.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: So when I look at the step-up in depreciation, $30 million step-up in depreciation, it just seems a little bit large relative to the step-up in CapEx. Is there -- can you just help me understand that? Is there something else beyond just the straight CapEx that we have to be thinking about here?
Jose Ramon Mas: Yes. You have to think about capital leases. And if you look at our 10-K and you look at the change in capital leases, it went up, I think it was in the mid-40s in the fourth quarter. I think that will be probably the biggest jump. We'll probably have a little bit of a jump in '13, but that also led to the increase in depreciation. And we're all focused on 2013 as it relates to depreciation. But the reality is, in the fourth quarter of 2012, we also had a big step-up in depreciation. So we ended up beating EBITDA guidance by $7 million but yet, EPS was mostly in line and that had a lot to do with that depreciation number starting to hit us in Q4. We put the orders in for a lot of this equipment early in the quarter and again, we're ramping. So it has a lot to do with where we expect the markets to be, but it started affecting us in Q4. And if you kind of roll that in through '13 with a little bit of increase, that's where we get to the numbers that we're talking about for depreciation for '13.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then your commentary on the Canadian market was pretty positive. Can you talk about how these capacity additions are weighted relative to Canada versus the U.S.?
Jose Ramon Mas: As it relates to the depreciation increase that we've talked about and the capital leases that we've entered, it's almost all predominantly in the U.S.
Operator: And moving on, we have a question from Veny Aleksandrov with FIG Partners.
Veny Aleksandrov - FIG Partners, LLC, Research Division: Again, my question is on the pipeline business. You added some products, it's apparently the first business probably that's going to reach $1 billion. Do you have any appetite in terms of adding new areas domestically? I mean, are there -- probably, it has to be done through acquisitions. Is it something you're thinking about?
Jose Ramon Mas: Well, I think we've got a great geographic footprint today. We serve all of the major shales. Obviously, in some, we have a lot more market share than others. I think, when you think about Bakken, I think it's a developing shale. I think it's far behind the other shales relative to pipeline infrastructure. And I think it's going to be a big growth shale in the future and I think we're well positioned there, it just hasn't really started. There are a number of other shale discoveries that people are starting to move into today, which we're participating in. So I don't think there's a major shale in North America that we're not involved in today.
Veny Aleksandrov - FIG Partners, LLC, Research Division: Okay. And my follow-up question, the Sandy-related work. Are you seeing any indications, any contracts getting -- I know it's too early, I know it's probably down the road, but what's happening there?
Jose Ramon Mas: So as it relates to Sandy, the business for us that was most impacted by it was our DIRECTV business. We've got a good chunk of territory that was affected. It was very disruptive for us early on in the process. Obviously, without power, there's not a lot of DIRECTV work you can do. So we had a little bit of disruption, it was offset by some of the repairs that we did there. So we kind of believe that, that was kind of a neutral event for us in the fourth quarter. As we look forward, we don't have a huge presence in that area across all of our different businesses. We do think, over time, there's going to be some nice opportunities related to the extension of gas -- of natural gas plants and stuff, but not a huge market for us. We'll keep an eye on it, there'll probably be some opportunities, but to be quite honest, it's not where we're most focused from a business development perspective.
Operator: And our next question comes from Adam Thalhimer with BB&T Capital Markets.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: I wanted to ask a couple of questions about power gen. Jose, do the margins move up in 2013 even though the revenue is down? I mean, are the margins on gas plants better than they are on renewable plants?
Jose Ramon Mas: So the answer is yes. The challenge with 2013 is the challenge of scale because, obviously, the business is reducing pretty significantly in size. If the wind market wasn't coming back, it's a different conversation than if the wind market was coming back. So we will probably hold on to some people and assets in that business because of the dramatic increase that we're going to expect in that business in late '13 or '14. So I think it'll be a challenge for us over the next couple of quarters from a margin perspective, just because we've got a lot of overhead relative to the revenue volumes that we'll be at. But we think that will turn as the year progresses, especially into '14. So we will see improving margins in that business in 2014. There's no question about it. Our margins in '14 will be better than our margins in '12, even with the growing amount of wind in '14 because I think, by that time, we would have diversified the business a little bit better. But we're kind of caught in a crossroad, where our power business isn't big enough yet and our wind business is somewhat slowing down for a short period of time, and that's going to create a little bit of margin pressure. But over time, we expect that to improve.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Okay. That's really helpful. And then I wanted to ask about the outlook in oil and gas. I mean, if you assume that your oil and gas business is, let's say, a $1.1 billion, $1.2 billion business today with the acquisitions you made in Q4, I mean, where could that be in a full-blown mainline pipeline recovery?
Jose Ramon Mas: A lot bigger. Obviously, for all intents and purposes, we hit a $1 billion when you include some of the gas work that's under our communications business, because it's gas work even though it doesn't fall in the same segment. With the acquisition that we made and the growth that we expect to have and the potential, our next target has got to be $2 billion.
Operator: And we will hear next from Tristan Richardson with D.A. Davidson.
Tristan Richardson - D.A. Davidson & Co., Research Division: On the debt offering, I'm curious Bob, just generally, I know you said that any costs associated with the exchange would be -- it's not included in the guidance, but I'm sort of just curious on the timing and just the potential costs you're thinking about there, and I know that tenders expired in March. I'm just curious of your thoughts?
Jose Ramon Mas: So Tristan, unfortunately, Federal Securities Law prevent us from discussing that matter at all in this call.
Tristan Richardson - D.A. Davidson & Co., Research Division: Okay. On then on the wind side, I know you said you're expecting a big ramp in 2014. Did you say that it could exceed levels that you guys saw in 2012?
Jose Ramon Mas: We said it could approach levels but quite frankly, with the amount of activity that we've seen here recently, it could exceed levels as well.
Tristan Richardson - D.A. Davidson & Co., Research Division: Okay. And is it mostly just because 2013 is more just the early planning phases, because we didn't find out until so late that the extension had been -- the PTC had been renewed?
Jose Ramon Mas: Well, there's a lot of doubt and question whether it was going to be renewed at all. So I think there was a lot of people out there who never thought it would get renewed, and then in it ended up getting renewed in fiscal cliff, which I don't think anybody expected either. I thought -- those that expected it to get renewed, expected it to be early in the session. So the fact that it got done in fiscal cliff, I think, caught almost everybody by surprise. And it had everybody now scrambling to figure out what they're going to do, which is why we feel -- we're seeing a ton of activity and we're very bullish, but we're not sure if it hits late '13 or early '14.
Operator: And we will go to follow-up question from Noelle Dilts with Stifel.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: I was wondering if you could provide us with an update on some of your large transmission projects? Just where they stand and particularly on Susquehanna to Roseland, when you kind of expect to really ramp up on that? Just an update on the big project work would be great.
Jose Ramon Mas: Sure. So we're probably not going to get into the habit of specifically talking about a particular project on the call. With that said, if we ever had a problem on a project, we would probably talk about it because it would impact our financial results. I can say that all of our jobs are going well and are on schedule. We are already active on that project specifically and working, but really nothing to report in terms of anything outside of what we're expecting.
Operator: And that concludes today's question-and-answer session. I would now like to turn the call back over to Jose Mas for any additional or closing remarks.
Jose Ramon Mas: Well, again, thank you for joining us and participating today. We look forward to our first quarter 2013 call and being able to update you on any further developments. So thank you.
Operator: And again, that concludes this call. We would like to thank everyone for their participation today.